Operator: Thank you for standing by, and welcome to Fiverr's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the call over to Jinjin Qian, EVP, Strategic Finance. Please go ahead.
Jinjin Qian: Thank you, operator, and good morning, everyone. Thank you for joining us on Fiverr's earnings conference call for the second quarter that ended June 30, 2025. Joining me on the call today are Micha Kaufman, Founder and CEO; and Ofer Katz, President and CFO. Before we start, I'd like to remind you that during this call, we may make forward-looking statements and that these statements are based on our current expectations and assumptions as of today, and Fiverr assumes no obligation to update or revise them. A discussion of some of the important risk factors that could cause actual results to differ materially from any forward-looking statements can be found under the Risk Factors section of our most recent Form 20-F and other filings with the SEC. During this call, we'll be referring to some key performance metrics and non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin and free cash flow. Further explanation and a reconciliation of each of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today in our shareholder letter, each of which is available on our website at investors.fiverr.com. And now I'll turn the call over to Micha.
Micha Kaufman: Thank you, Jinjin. Good morning, everyone, and thank you for joining us. We delivered another strong quarter, building on a solid start to the year with continued momentum across our business. In Q2 2025, we achieved 15% year-over-year revenue growth and a 20% adjusted EBITDA margin as we continue to drive profitable growth with disciplined execution. Within our platform, we are seeing strong signs of durability and growth, including surging demand for AI-related services and the continued momentum of managed services and dynamic matching products. While SMBs continue to take a cautious stance on spending and hiring amidst a volatile economic environment, our success in these efforts contributed to the acceleration in spend per buyer, which grew 10% year-over-year alongside robust growth across key verticals such as programming and tech, digital marketing and video animation. Additionally, we continue to expand our value-added services across our ecosystem. AutoDS continues to maintain strong growth momentum, and we've made meaningful progress in integrating our platforms to drive adoption and scale. Notable highlights include the launch of an AI-powered Shopify Store builder as well as the development of a deeper integration to enable seamless upselling and cross-selling between AutoDS and Fiverr's Marketplace. The strong performance of the Services segment contributed to the revenue upside this quarter. We are also incredibly excited about how AI is positively impacting every dimension of our business, driving demand through AI-related services, improving discovery and conversion for buyers and sellers on the Marketplace and unlocking operational efficiencies through AI agents across functions. Today, I want to delve deeper into each of these areas and demonstrate how we are at the forefront of AI adoption with the speed, conviction and clarity that sets us apart. First, the rapid development of AI technology is giving rise to numerous new skills, and Fiverr's Marketplace is becoming the go-to destination for accessing and engaging with AI experts. Categories such as AI agents, workflow automation and vide coding have experienced 5 to tenfold growth on our market base over the past 6 months. With AI fundamentally changing how humans and machines interact, it allows many nontechnical entrepreneurs and professionals to build and leverage the technology. At the same time, we are increasingly seeing the gaps between on-the-shelf AI tools and the real-world problems our customers are trying to solve. This is where Fiverr comes in. Freelancers on our platform are filling the critical first and last mile gaps for our customers. This could involve setting up AI systems, selecting the most efficient AI models, integrating the back end with existing systems, adding functionality, creating custom workflows or simply debugging when the customer encounters issues. Fiverr's freelancers help our customers turn concepts and prototypes into high-impact solutions and tangible business results. These exciting trends underscore our conviction that human expertise is crucial in unlocking the full potential of AI. With the proliferation of AI tools in the market and the increasingly ubiquitous access to these tools, we believe this represents a long-term tailwind for our business, driven by an increasing number of buyers who are deploying AI and their growing need and budget for tackling AI-related problems. That's why we are not only expanding our catalog to meet this demand but also exploring ways to embed Fiverr's talent network and transaction infrastructure directly into AI-driven workflows. These efforts include several ongoing strategic partnership discussions, the development of a targeted fulfillment capabilities and laying the technical foundations to build scalable AI powered by experts. Our goal is simple. Fiverr freelancers are addressing critical challenges for businesses adopting AI, and we must strive to meet customers where they are and build an integrated experience that makes it seamless for them to leverage our platform. Second, we are shipping at an incredible pace so that we can leverage AI to strengthen our marketplace flywheel. Every transaction in our marketplace involves 3 core participants: the buyer, the seller and the platform. Our vision is to create an intelligent Agentic experience for each. Two years ago, Fiverr launched Neo, the first-of-its-kind AI matching agent for buyers in a marketplace environment. Since then, Neo has evolved into a powerful AI engine that drives underlying KYC and matching across all of our front-end products. As we continue to build out the Agentic experience on the buyer side, we envision a future where each buyer will be accompanied by a recruiting agent who can assist with drafting job briefs, communicating with freelancers, curating candidate list and even managing project execution end-to-end. This is the beginning of a search-less vision for the future, at least in the traditional keyword-based sense of search that makes room for more expressive and nuanced way to address customer needs. One that unleashes the power of the multiple solutions Fiverr has built on the platform to tackle any project from simple tasks to the most complex ones imagined that requires multitask and multi-talent orchestration and assembly. On the seller side, we introduced Fiverr Go earlier this year, an AI assistant designed to help freelancers with project discovery, client engagement and creative ideation. Following the successful launch in February, Fiverr Go continues to drive strong seller engagement and meaningful conversion uplift across the funnel it touches. Similar to the Agentic AI experience on the buyer side, we have an extensive road map for Fiverr Go that will enable seller agents to provide more sophisticated support and guidance for our sellers, including service listing optimization, lead generation and qualification and other marketing, analytics, operations and production capabilities. Last but not least, we are deploying Agentic AI across the internal functions to boost platform level efficiency from automating customer support workflows to enhancing marketplace integrity operations from improving job post matching algorithms to empowering customer success managers. These systems are designed to enable faster, more seamless orchestration between buyers and sellers while scaling operational productivity behind the scenes. As these agents become more capable over time, we believe they'll increasingly act autonomously, not only to improve individual workflows, but ultimately to enable agent-to-agent transactions that reduce friction and eliminate the need for their human counterparts to manually navigate the platform. While this is an ambitious long-term vision, the path is clear. Having this road map enables us to make informed architectural and product investments today. And these early bets will position Fiverr at the forefront of market-based innovation, further reinforcing our leadership through AI-powered differentiation. As we wrap up the first half of 2025, I'm incredibly proud of how our team has delivered, and even more excited about our strategy and road map for the second half of this year. I look forward to updating you on our continued progress in the months to come. And with that, I will turn the call to Ofer.
Ofer Katz: Thank you, Micha, and good morning, everyone. We delivered a strong second quarter with both top and bottom-line exceeding expectations. Revenue for the second quarter was $108.6 million, up 15% year-over-year. Adjusted EBITDA for Q2 was $21.4 million, representing an adjusted EBITDA margin of 20%, an improvement of 80 basis points from a year earlier. We continue to generate strong cash flow with free cash flow totaling $25 million, up 21% year-over-year. As always, we remain focused on taking a balanced approach between growth and profitability while maintaining discipline with capital allocation. Q2 saw solid performance across both our Marketplace and Services segments. Marketplace revenue was $74.7 million, driven by 3.4 million active buyers and 318 of spend per buyer and 27.6% of marketplace take rate. Within the Marketplace segment, we saw strong demand for AI-related services and AI category expansion and managed services remains an important channel for upmarket penetration. We are encouraged by the accelerating growth across several of our core verticals and the steady increase in larger, more complex projects on the platform. In Q2, over 50% of GMV on our marketplace came from transaction over $200 and the higher-value transactions are growing at a double-digit pace year-over-year. This is a strong indicator of our marketplace ongoing evolution towards serving more sophisticated business needs. While the overall macro conditions do not warrant us to revise our assumption going into the second half of the year, we believe the structural tailwind within the marketplace segment, particularly around AI and upmarket adoption will continue to help offset broader economic headwinds and serve as a sustained growth driver. Services revenue was $34 million, representing year-over-year growth of 84% and 31% of our total revenue in Q2. The upside was driven by several key initiatives, including the launch of AI-powered Shopify Store Builder, streamlined cross-sell execution between AutoDS and the marketplace and continued momentum in Seller Plus. We continue to see strong engagement and positive conversion impact from Fiverr Go, leading to incremental uplift to Seller Plus premium tier subscription in Q2. Looking ahead, we expect services revenue to maintain healthy momentum, and as mentioned previously, expected to represent a little over 30% of total revenue for the full year 2025. Now on to guidance. We are reiterating our revenue and adjusted EBITDA guidance for the full year 2025. We expect full year 2025 revenue to be in the range of $425 million to $438 million, representing year-over-year growth of 9% to 12%. Adjusted EBITDA is expected to be in the range of $84 million to $90 million, representing an adjusted EBITDA margin of 20% at the midpoint. For the third quarter of 2025, revenue is expected to be $105 million to $110 million, representing year-over-year growth of 5% to 10%. Adjusted EBITDA is expected to be $21.5 million to $23.5 million, representing an adjusted EBITDA margin of 21% at the midpoint. We continue to operate with the highest level of discipline and efficiency. We believe we are on track towards our long-term target to reach 25% adjusted EBITDA target in 2027 and deliver 40% CAGR in free cash generation for the 3 years ending in 2027. To close, we continue to execute on the goals and road map we set at the beginning of the year and are looking forward to the second half as we remain well-positioned to capture the enormous opportunity ahead of us. With that, we'll now turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Eric Sheridan of Goldman Sachs.
Eric James Sheridan: When you think about services revenue growth building and momentum deeper into the second half of this year, but more on a multiyear view, what do you guys see as some of the key investments you need to make to sort of unlock continued scaling of that service revenue? And maybe honing in a little bit on Seller Plus, understood the goal you have around getting to a certain rate of penetration. But how do we think about maybe over the longer term where that can go in terms of a percentage of the mix?
Micha Kaufman: Eric, thanks for the question. So, for the services, we expect services revenue to continue growing at a healthy double-digit rate exiting this year after we lap both Fiverr adds and AutoDS acquisition in Q. And we believe that services still have a long growth runway ahead of us as we continue to expand value-added services to productivity, financial and other adjacent tools for our freelancers. In addition, we're seeing opportunities to drive synergies between AutoDS and Fiverr. And as we mentioned this quarter, we unlocked some nice Shopify affiliates revenue through the new AI-powered Shopify Store Builder tool. And we believe that services will continue to be a growth catalyst for our overall revenue growth. As to Seller Plus, it continues to expand value-added services, to drive adoption among a wider range of audience. Fiverr Go is an example of that. And we keep adding tools and the audience of Seller Plus is growing as they see this as a net positive contributor to the growth of their business. And broadly, we are expanding value-added services to a wider range of services for freelancers. We want to empower the entire freelancer career, including those financial tools and benefits. So, there's a lot of growth runway there.
Operator: Our next question comes from the line of Ron Josey of Citi.
Ronald Victor Josey: Micha, I wanted to talk and ask a little bit more about the managed services offering and the broader mix shift to upmarket. And just talk to us a little bit more about the progress here. I know there were some stats in the letter around 50% of marketplace driven by transactions over $200. And so, as we see greater demand for managed services, as we see the mix shift to upmarket, help us understand just the progress overall and maybe the size. And then from an AI or I guess, Fiverr Go perspective, I think we saw and heard a little bit more about conversion rates. Any more insights there would be great.
Micha Kaufman: Thanks for the question. So essentially, managed services, as we think about it in general, is a part of our going upmarket strategy. And as we said time and time again, this is -- I mean, you can think about the history of the company. A company that started from services of $5 and now more than half of our business is coming from transactions of over $200, which is incredible. And this is thanks to the fact that we've actually extended beyond just being a marketplace into becoming a platform, where we offer a whole suite of different services so that we can mature with our customers and cater to more of their needs. And this is really demonstrated in the fact that these managed services are growing very nicely. And this also has to do with our acquisition strategy, which means we're focusing on customers that have larger wallets, that have more sophisticated and complex needs and making sure that we have the right tools to answer for those needs. And we're seeing this. And by the way, as this grows, it is actually decreasing our exposure to the segment of the market of SMBs where they're more exposed to macroeconomics than the larger customers. So, this remains very much in the focus of what we're doing, and we're very encouraged by the growth that we're seeing there. In terms of Go, I think we provided color in our letter to our shareholders. As you noted, yes, it is increasing the conversion rates and the speed and efficiency and decreasing the time to convert for our sellers. And this is why we've seen a 50% jump in the amount of sellers that are using it. They love it. It's an incredible tool that actually let them sleep at night quietly knowing that their business is continuing to run. In addition, the way we're thinking about this, and this is a part of our entire agentic vision for the company, what we're doing is we're building sophisticated tools that allow them to not just deal with the communication, but actually smart AI that will allow them to optimize their offerings and actually take actions for them to make sure that they get the best exposure and they maximize their potential for deal flow. And I think that this is -- I mean, we're pretty early in that phase, but the things that we're building internally are just incredible. And I think the fact that we started with Neo way, way ahead of any company, any marketplace out there, allowed us to build the muscle and build one of the most incredible AI teams that I know in the world. And we're building incredible tools that I'm sure we're going to be able to talk about in the next few quarters.
Operator: Our next question comes from the line of Doug Anmuth of JPMorgan.
Douglas Till Anmuth: I have 2. Maybe just first in terms of supply/demand, just balance on the marketplace. I'm just curious how you're thinking about the supply on the freelancer side with AI expertise and whether that's where you need it to be? And then second, just as you think about the marketplace business, what would it take for marketplace to return to growth in your view?
Micha Kaufman: Doug, thanks for the question. As for supply and demand, I think we're in a good place there. The one benefit that we have with freelancers is that they are ahead of most full-time employees in terms of embracing new technology and new tools. A lot of them are what we call AI native. And we're seeing how they're actually elevating the outputs of their work in an incredible way. And obviously, when we open new categories, sometimes it takes a little bit of time, a couple of weeks to build new supply. And as we go into the areas of more sophisticated types of services, obviously, we allow more sophisticated types of sellers to join the marketplace. But I think that we're in a very good place. We don't have a category where we don't have the right supply to entertainment needs of the customers. As we think about the marketplace business, we believe that the efforts that we're doing around AI and upmarket will allow us to turn to growth even in the current macro. But given the macro uncertainty, we don't think that we're ready to bake this into guidance yet. As we said a number of times before, and I think I mentioned this in my first answer, the fact that we're going upmarket and actually acquiring high-value buyers, by definition, lowers our exposure to the segments of the buyers that are mostly affected by macro-economical conditions. And therefore, even without the macro turning, over time, we will continue -- we will turn into growth. And obviously, if macro turns, it's going to be a further tailwind for us.
Operator: Our next question comes from the line of Jason Helfstein of Oppenheimer & Company.
Unidentified Analyst: This is Steve Hromin on for Jason. So, 2 questions from us. One is, have you seen any specific categories relating to AI? And second, if more entry-level jobs are going to be replaced with or by AI, how does that affect demand for Fiverr services?
Micha Kaufman: Thanks for the question. Essentially, I mean, if -- we haven't seen any accelerated decline. But as we said before, we made the comment about simple versus complex types of services. And we said that the simple types of services, and usually, they're associated with very, very low prices are going through displacement. But at the same time, there is many new categories and many new needs that we can answer for. And by the way, that's a good thing for us, because we're obviously less focused on the micro types of services and more interested in the more complex, nuanced types of services that our larger customers need. As to entry-level jobs, look, I think the definition of an entry-level job is changing. I think the expectation of everyone is to do more, thanks to technology. And again, I think that much like freelancers, I think that people that are in their very beginning of their career cycle have the benefit of actually being AI natives, which means that even on entry-level jobs, they can do much, much more than that. I said that many times, I'll repeat it now. I think what AI has done is to elevate the floor for everyone, meaning it's providing incredible tools and capabilities to everyone, but that's exactly the thing. No one has an advantage, thanks to AI because the tools are available for everyone. So essentially, they're changing the starting point, the floor, but it is not changing the ceiling. So, I think that it's moved all jobs up, including entry-level jobs. This is what we're seeing at least.
Operator: Our next question comes from the line of Brad Erickson of RBC Capital Markets.
Bradley D. Erickson: I have 2. First, on the services revenue. Can you just update us on the mix within that line item between what you might regard as sort of recurring revenue versus more transactional and then kind of how you think about the general visibility level? And then I have a follow-up.
Micha Kaufman: So essentially, when you look at the services side, it is mostly made out of Promoted Gigs, Seller Plus and AutoDS. And all of them are continuing their momentum. There is nothing specifically to call out there. Was there a second part to your question?
Bradley D. Erickson: It just kind of general visibility related to obviously, some of the revenue being sort of what might look like recurring versus purely transactional.
Ofer Katz: I think that to give some more color. So, I think Promoted Gigs is not recurring by design. It's -- but it's pretty much ongoing, and we see a very high retention of sellers who are using this product. It's aligned with the GMV on one hand, but it has more room to expand as we have more inventory that hasn't been utilized yet. And I think one territory that we haven't expanded to in terms of Promoted Gigs is the Fiverr Pro environment, which is growing faster than the Marketplace. So, I think that -- but this is one example. Then on the Seller Plus, Seller Plus is subscription by design. This is the offering. There are multi-tier -- there are a few tiers of offering for different services being offered and packaged. And as time goes, we expand those offerings, adding more capabilities and opening more tiers. So, I think on the Seller Plus as well, it has the room to -- for us to offer more services and to charge accordingly and then also to expand in terms of the target audience, approaching sellers that were not entitled for the program before and offering them a different class or different type of tool to improve their business. And lastly, AutoDS is subscription, has been growing nicely and contribute more than expected on the second quarter. And we see this business building up nicely as we just finalized the integration with Fiverr ecosystem. We see that building nicely looking forward. I don't think we break down each and any of those to line item. But this is, I hope, more color and visibility to this line of revenue.
Bradley D. Erickson: Yes, it is very helpful color. And then just second one, maybe following on to a few of the questions around Marketplace growth. You've talked for a while about this whole mix shift between complex services and simple services. I guess, do you feel like you have visibility to when that mix shift might become a tailwind? I know you just said you're not ready to guide to that because of macro. So, I guess the question is like do we need to see macro ultimately improve? Or do we reach a point maybe at some point soon where that mix shift is enough to push the Marketplace back to growth? How to think about that?
Micha Kaufman: Yes. Thank you. Look, I said it before, we don't know exactly when this is going to be the case given the volatility of the market. That said, we do believe that by going upmarket and enjoying the tailwinds that AI is giving us, over time, this is going to bring us back into growth on the marketplace side, even without macro economy taking a turn.
Operator: Our next question comes from the line of Bernie McTernan of Needham & Company.
Bernard Jerome McTernan: Just one for me. I wanted to just follow up with one of the comments you made in your prepared remarks that you were in discussion with several companies on potential partnerships with -- on AI. Just wanted to -- I know it's too early to announce what those are, but what could those partnerships actually look like, either the technology being better put into your marketplace or you -- or Fiverr's Marketplace being on like other AI platforms? Just how we should think about those partnerships potentially playing out?
Micha Kaufman: Bernie, thanks for the question. Look, what I referred to is what we call internally scaled AI using experts. Essentially, what we're seeing with technology is we're seeing technology allowing everyone to take a pretty meaningful step forward. That said, using many of these technologies in a way that would create either a complete product or would provide a competitive edge usually requires either at the beginning or at the end or both using someone who's an expert in using these tools, as friendly as they are. At some point, they become technical. At some point, they reach their limitation. I think this is exactly -- this is exactly the concept of actually working with those who are -- who can give you either the help to get to the finish line or the competitive edge required to build successful things. And so, without getting into specifics, the things that we did with certified could give you a sense of how we're thinking about empowering our customers as they use these AI tools.
Operator: Our next question comes from the line of Josh Chan of UBS.
Joshua K. Chan: I guess 2 questions for me. One, on your AI capabilities. I know that because they're more complex, you're getting higher ASP from your AI type of services. I guess I'm wondering, are you also attracting new and different customers that weren't part of the Fiverr platform before that are attractive to your AI capabilities? And then I guess my second question is on the margin front. As you think about the path to targets, how dependent on GMV improvement will your margin trajectory be?
Micha Kaufman: Josh, thanks for the question. The answer for your first question is yes. Given the fact that it's more complex types of projects, it allows us to actually get the types of customers that we're very much focused on, which are customers that are able to actually pay and fund these types of expertise. And again, having these experts on our platform is something that we've been working on for a while. And it's definitely paying off. We called out the positive and accelerated growth around programming and tech and video -- and animation verticals as an example. And obviously, we're seeing that also accelerating our growth in the spend per buyer in a very nice way, actually putting us in a great position where I don't think that there is any company in our space that delivers the performance at our level with double-digit growth and a 20% EBITDA. And so, investing in these areas allows us to deliver one of the best performing businesses in our space.
Ofer Katz: On the second part on the margin and dependent on GMV improvement, I think we have a 2027 margin -- long-term margin that we are committed to the 25%. And I think as you can see, we are moving there step-by-step and have full confidence with the ability to deliver on the margin improvement. And this is taken into consideration multiple scenario of GMV growth or GMV flat. So, I don't think there is a dependency. We have the flexibility, but also the confidence and the ability to deliver despite a different scenario.
Operator: Our next question comes from the line of Matt Condon of Citizens.
Unidentified Analyst: My first one is just on marketplace revenue in the quarter. It looks like trends on a year-over-year basis deteriorated in the second quarter, and that's just in the backdrop of a stable macro environment and the AI tailwinds that you guys are seeing. Can you just elaborate just on what you're seeing, I guess, real time, if there's anything to call out there? And then my second question is just on marketing spend. Specifically, as you guys move upmarket, are you seeing any changes in your return on marketing spend or any changes in your TROI framework, specifically as you move up market?
Ofer Katz: Yes. So, I think the answer for both questions is that the quarter behaved as expected. I think we have committed to marketplace being flat, maybe a low single-digit decline, and that's exactly where we are. And honestly, I think that as we look to the second half of the year, we anticipate or predict a similar trend. And as for the marketing trend, I mean, you can track, and we provide the ROI data and return. I think that those are -- those fall into the expectation without much exception.
Operator: Our next question comes from the line of Rohit Kulkarni of ROTH Capital Partners.
Rohit Rangnath Kulkarni: One question on -- you've mentioned a few times, AI agents, workflow automation in the letter. Maybe talk about what you're seeing from a demand standpoint, what types of customers or what types of use cases you feel Fiverr is well-positioned to address the demand in AI agents and robotic process automation, workflow automation in a new AI world. And then just on this -- based on our calculation, I think GMV seems to have accelerated almost 3 or 4 quarters in a row. Perhaps talk about what your assumptions are heading into second half as the guidance seems to be unchanged but just talk through how you feel the sustainability of GMV acceleration, although from a minus 1% to plus 2%, but that's still encouraging in my opinion.
Micha Kaufman: Rohit, thanks for the questions. I'll start with the first one. Look, AI-related services are booming, and the demand is surging, especially around AI agents, workflow automation and vibe coding. As an example, AI agent, 35% growth quarter-over-quarter, 10x growth in the last 6 months. Workflow automation and vibe coding growing 10x in the last 6 months, as customers are using services like Meg.com or GoHighLevel to create those workflows. AI development, 137% growth year-over-year. Mobile app, 47% year-over-year. AI consulting, 37% year-over-year. And also, we're seeing some prolifheral categories that are benefiting from it, such as data governance and protection with 58% growth and crowd funding with 51% growth, where AI drives -- is now driving millions of start-ups. And so, AI experts on Fiverr play a critical role in helping customers navigate the rapidly evolving AI landscape and bridge the gap between technology and tangible business impact. So, we're excited about this. We think that this is just the beginning, and we're going to see a lot of more categories that are going to be affected as a result of it and experience accelerated growth.
Ofer Katz: I think on the second part of the question, what we are seeing is a really stable macro. We don't interrupt small deceleration or acceleration as a trend. And I think this takes us to the assumption on the second half of the year, which is a reiteration of what we said at the beginning of the year. We don't think -- unless something materially changed on the macro environment, we think that's going to be stable between flat and maybe slightly 1-digit decrease in GMV. But that's what we anticipate in the second half of the year.
Operator: I would now like to turn the conference back to Micha Kaufman for closing remarks. Sir?
Micha Kaufman: Thank you, Latif, for moderating the call today and to everyone who dialed in this morning. I look forward to speaking to all of you very soon. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.